Operator: Good day, everyone, and welcome to today's Bristow Group Reports Third Quarter of 2023 Earnings Call. Today's call is being recorded. At this time, all participants are in a listen-only mode. Later, you will have the opportunity to ask questions during the question-and-answer session. [Operator Instructions] At this time, I would like to turn the call over to Red Tilahun, Senior Manager of Investor Relations and Financial Reporting. Red?
Red Tilahun: Thank you, Dan. Good morning, everyone, and welcome to Bristow Group's third quarter of 2023 earnings call. I am joined on the call today with our President and Chief Executive Officer, Chris Bradshaw; and Senior Vice President and Chief Financial Officer, Jennifer Whalen. Before we begin, I'd like to take this opportunity to remind everyone that during the course of this call, management may make forward-looking statements that are subject to risks and uncertainties that are described in more detail on slide three of our investor presentation. You may access our investor presentation on our website. We will also reference certain non-GAAP financial measures such as EBITDA and free cash flow. A reconciliation of such measures to GAAP is included in the earnings release and our investor presentation. I will now turn the call over to our President and CEO. Chris?
Christopher Bradshaw: Thank you, Red, and welcome to the call, everyone. As always, I will begin our prepared remarks with a note on safety, which is Bristow's number one core value and our highest operational priority. The company has achieved our target of zero air accidents through the first 10 months of 2023. With respect to workplace safety, we are pleased that our total recordable incident rate has declined and we have experienced fewer incidents resulting in loss work times. While this represents excellent safety performance year-to-date, we of course, understand that our safety record must be earned anew each and every day. I want to thank and commend all our team members around the world for their continued dedication to Bristow's target zero safety culture. Turning to operational and financial highlights, we are very pleased to announce a significant earnings beat this quarter and guidance raised for full year 2023. Consistent with our outlook that the second half of 2023 would mark the positive inflection point for Bristow's financial results. Q3 adjusted EBITDA of $57 million, excluding asset dispositions and foreign exchange losses, represents a 45% sequential quarter improvement and supports our expectations for stronger financial results in 2024 and beyond. We will have more to share on our future outlook later in this call. For now, I will hand it over to our CFO for a review of the quarter's financial results. Jennifer?
Jennifer Whalen: Thank you, Chris. Today, I will begin with an analysis of the sequential quarter comparison of Bristow's financial results. EBITDA adjusted to special items, asset dispositions and foreign exchange was $56.6 million for the third quarter of 2023 compared to $39 million in the second quarter, or an increase of approximately $17.6 million. Operating revenues increased $18.7 million, primarily due to higher utilization in offshore energy and higher lease payments received from Cougar. Operating expenses were consistent with the prior quarter, higher personnel and fuel costs were offset by lower insurance costs, repairs and maintenance and other operating expenses. General and administrative expenses were $1.6 million higher primarily due to higher professional service fees. Earnings from unconsolidated affiliates were $2.4 million higher due to improved earnings at Cougar. As noted in previous earnings calls, the other income line item is primarily comprised of non-cash foreign currency gains and losses, which we have excluded from our adjusted EBITDA calculation. As a result of the third quarter's earnings, we have raised our 2023 adjusted EBITDA guidance to $165 million to $175 million. As we move into Q4 2023, we anticipate the fourth quarter adjusted EBITDA to be somewhat lower than the third quarter, primarily due to seasonality, particularly from Cougar in Canada and our Airline in Australia. This typical seasonality pattern will be somewhat offset by increased activity levels. Therefore, we reaffirm Bristow's 2024 financial outlook that we announced in June of this year. The midpoint for adjusted EBITDA for 2024 is 20% higher than midpoint 2023, this is primarily being driven by growth in our offshore energy line of service. In 2023, we started new projects in Brazil, Norway and the Gulf of Mexico with the full year EBITDA impact of those reflected in 2024. In addition, we have been successful in achieving more favorable rates compared to our expiring contracts, and we expect to benefit from higher flight hours from short-term exploration campaign. Further details are available on slide 10 of the presentation. Finally, Bristow continues to benefit from a strong balance sheet and liquidity position. As of September 30, our available liquidity was $274 million. As we have noted in our earnings presentation, we have a capital investment of approximately $300 million related to the successful award of contracts with the U.K. and Irish Coast Guard. Much of this capital investment is expected to happen in 2024, as we will be adding 11 new helicopters to our fleet. Our search and rescue contracts are long-term in nature, typically 10 years with attractive returns. So once we were through with the investment period, we have a long-term cash yield as noted on slide 16 of our presentation. We plan to fund this investment with cash on hand, operating cash flows, new debt financing of a similar structure to what we currently have with NatWest and/or aircraft leasing. Due to the nature of these long-term cash generative contracts, we have access to competitive financing and sufficient flexibility in how we structure it. As we've stated before, we believe this business model will continue to generate strong cash flows. At this time, I'll turn the call back to Chris, for further remarks. Chris?
Christopher Bradshaw: Thank you. As Jennifer noted, the midpoint of Bristow's 2024 adjusted EBITDA guidance range of $190 million to $220 million represents a growth rate of 20% over the upwardly revised 2023 midpoint. This demonstrates our very optimistic outlook for the future of Bristow's business. Before expanding upon our positive forecast, I would like to note that there are some headwinds, including the adverse impact of a strong U.S. dollar on Bristow's financial results. In addition, we continue to experience supply chain challenges, particularly related to significant parts delays for S92 helicopters, which is a challenge impacting the entire offshore helicopter industry. With that said, the fundamentals for Bristow's business continue to improve, and our conviction about a multiyear growth cycle has strengthened commensurately. In our Fixed Wing business, activity levels have recovered from pandemic impacts, and we are seeing benefits from an ongoing fleet enhancement. In our Government Services business, we have grown from the foundational U.K. SAR contract to a larger and more diverse portfolio of government search and rescue contracts in multiple countries, including the recent addition of an important mandate with the Irish Coast Guard, scheduled to commence in late 2024. These are long-term contracts with high credit quality government customers, providing stable, high-returning cash flows for Bristow. In our Offshore Energy business, Q3 results demonstrate that the positive inflection point has occurred, and we continue to believe the offshore market is in the early stages of a multiyear growth cycle. We expect aircraft utilization and rates to continue to increase, which will drive significant improvement in cash flow generation. With the largest and most diverse aircraft fleet in the industry, and the largest operational footprint, Bristow is well-positioned to benefit from current and future opportunities in this up-cycle. With that, let's open the line for questions. Dan?
Operator: Thank you, Chris. The floor is now open for questions. [Operator Instructions] The first question comes from Josh Sullivan from The Benchmark Company. Your line is now open.
Josh Sullivan: Hey, good morning. Congratulations on the strong quarter here.
Christopher Bradshaw: Good morning, Josh. Thank you.
Josh Sullivan: For the first question, I guess I'll just get right to it, but for the remainder of the year, what are the factors to get to the higher end of the '23 outlook versus the lower end?
Christopher Bradshaw: Yes, we've provided a range for the full year in terms of, what could move that to one end or the other. Some of the key variables would be foreign exchange namely the relative exchange rate between the U.S. dollar and the Great British pound. Another factor would be the supply chain challenges that we reference, if either one of those situations would deteriorate, that would bias results to the lower-end of the range. If we get some help, whether it's from foreign exchange or an easing in the supply chain challenges, that would bias us more to the higher end of the range or higher.
Josh Sullivan: And just on those supply chain issues for the S92, how have you been mitigating those and have those efforts been effective or --
Christopher Bradshaw: Yes. They've been effective in the sense that we've continued to provide safe and reliable service to our customer meeting their needs. It's been a multifaceted response, to these supply chain challenges which really are the result of significant delays in delivery of parts and services for the S92 helicopters. We've mitigated these by in sourcing parts leveraging the large global fleet we have to take parts from certain aircraft, and move them to others to keep contracted aircraft working and flying for our customers. We've also gone out into the secondary market and purchased certain components, brought them into our inventory which we really should not have to do under the terms of our full tip to tell power-by-the-hour or PBH support agreement with Sikorsky for the S92, but we've done that nevertheless, again to make sure that we're delivering reliable service. We along with the rest of the industry have also in some instances sought extensions on life, components, to keep the helicopters in service. So it's been a multifaceted approach. I think we have benefited at Bristow, because we do have the largest fleet of S92s operating globally. So, we've been we have more resources to self-help through this challenge. But it has been a challenging time, and certainly a dynamic one with changes. And I want to really thank our and commend our team around the world for continuing to deliver reliable service despite these challenges on the supply chain.
Josh Sullivan: And then I guess a similar question on the OEM side. What about delivery timelines for the new aircraft on order?
Christopher Bradshaw: The delivery timelines and lead times are significant on average it'd be about 18 months. Could be a little less than that, could be more like 24, but we're still looking at about on an average of 24 month, lead time for new aircraft. For the ones that we're bringing in to support our successful wins on the government services side, we have to secure those delivery slots and are moving forward on time to deliver those new contracts for the schedule.
Josh Sullivan: Got it. And then just on the overall duration of your oil and gas contracting base, is there a way to think about what year is the center point. And then is there a way to think about how much pricing has generally increased since then?
Christopher Bradshaw: There's a pretty wide spectrum in terms of duration of contracts, but to use a rule of thumb a typical contract maybe five years in length. So, at any given point in time, there may be roughly two and a half years of maturity left across the portfolio. As contracts are expiring, we are renewing them at significantly higher rates. To your question, that those rate increases could be in the mid-20% or higher depending upon the situation in terms of geography, aircraft type, etcetera. So these are meaningful increases. We have captured some of those during 2023. 2024 will have a full year impact of those also the opportunity to reset new contracts for elsewhere in the portfolio. So, we can we see the benefit of this really being a step change that will compound, as we progress through the next couple of years.
Josh Sullivan: And then just one last one on the higher lease payments in the quarter from Cougar, can you just provide some color there?
Christopher Bradshaw: Yes. I'll let Jennifer talk about what we've done on the accounting side, given the situation at Cougar over the last few years during a difficult period of time. But the good news is that their business has improved and trending in a positive direction, which to why we are collecting more cash from them this quarter. Jennifer, do you want to talk about the accounting?
Jennifer Whalen: Sure. Just as a reminder, we did place them on a cash basis of accounting when their business deteriorated during and through the pandemic. So, that is really truly based on the amount of cash that we received from them is how we recognize revenue. So, it can be quite lumpy. But yes, as Chris noted, their business has improved which is showing up both as those cash payments as well as in our equity earnings related to Cougar.
Josh Sullivan: Got it. Thank you for the time.
Christopher Bradshaw: Thank you, Josh.
Operator: The next question comes from Eddie Kim from Barclays. Your line is now open.
Eddie Kim: Hi, good morning. Just wanted to ask, what your outlook is on the offshore energy market in the Gulf of Mexico. Just based on commentary we've been hearing from the offshore drillers, it seems like the incremental demand that they're seeing is coming out of Brazil and Africa mostly. So, just curious, what your outlook is based on your conversations, in the U.S. Gulf of Mexico?
Christopher Bradshaw: Good morning, Eddie, and thank you for the question. As you referenced, we are seeing significant growth rates in places like Brazil, where the overall market is increasing, and our share of it has increased with the addition of some new contracts in the last couple of quarters. And also West Africa, we do see a good growth rate there, a strong recovery from some of the lows during the pandemic and the oil downturn. We've benefited from that. We've also benefited it from and increasing share in Nigeria. So, that market has really improved significantly for us, and we continue to have a positive outlook going forward. Specific to your question about the Gulf of Mexico, we are seeing growth in the Gulf of Mexico. It's obviously a very large market. So, from a growth rate standpoint, if the rate won't be as high as some others, whether that's West Africa or the Caribbean, but in terms of the addition of the number of units, we have started some new contracts recently in the Gulf of Mexico, one being an AW139, another being an S92, that started during Q3 for us. I would say, aircraft availability is a challenge for us in the Gulf of Mexico, if we had, for example, more serviceable S92s today, we'd be able to put them on contract and we'd be generating more revenue cash flows. So, while certainly the rates aren't as high as other regions, we are seeing a growth in demand for helicopters to support local Mexico activity.
Eddie Kim: Got it. Thanks for that color. My follow-up is just on kind of higher pricing, you mentioned in response the product question, higher pricing on renewals, with pricing up in the mid-20% range or even higher in some cases. Are you seeing this incentivize new aircraft to end of the market? Or, if you're not, is this something you expect to take place in the next 12 to 18 months?
Christopher Bradshaw: The order book right now for offshore configured helicopters is quite small. There are there are not many on order, from the various participants in the industry. In terms of where we see that trending, I would expect it increase, pricing levels are have increased in certain areas, and increasing number of areas to levels that would support new build economics. And I think importantly, because of the tight supply chain -- sorry, supply and demand balance in the industry for particularly heavy and medium helicopters, there's going to need to be more aircraft that come in to meet the existing demand. You will have some attrition of some S92s that will naturally age out. It's likely that super mediums, otherwise known as light heavies, will be a big part of the solution to both replace 92s that are currently working, but also to meet the future growth that we're seeing in the market.
Eddie Kim: Got it. Great. Thank you very much. I'll turn it back.
Christopher Bradshaw: Thank you.
Operator: The next question comes from Savi Syth from Raymond James. Please, your line is now open.
Savi Syth: Hey, good morning. I just had a slightly longer term question. In regards to the advanced air mobility, I was curious what your expectation was on like the timelines of taking delivery and launching operations, depending on kind of when certification time, certification happens with your partners?
Christopher Bradshaw: Thank you for the question, because we are -- we've remained very excited about the potential for advanced air mobility. And we think that, for Bristow has been a global leader in vertical flight for the last 75 years. There's a big opportunity for us to remain a leader in the adoption of new technologies like advanced air mobility. And we see a number of opportunities where they can be complimentary and really additive, to what we do with our business. So, we don't see them substituting existing missions with current aircraft, but really its additive to our business. In terms of timeline specific to your question, we would expect to take the first delivery in 2025, what we anticipate from both a certification and production standpoint. So, that 2025, late ‘25 timeframe will be the first time that we're probably operating them in the real world in Bristow’s fleet generating revenues.
Savi Syth: That's super helpful. And just follow-up to that, do you have any thoughts on, geographically where you might be deploying those first and what the considerations are in thinking through where you will deploy those?
Christopher Bradshaw: Yes. We do. And it's been -- it's really been interesting to watch the developments of this, from a regulatory and certification standpoint in the different jurisdictions, our current view is that we see Europe will likely approve these aircraft types, and certify them prior to the U.S. market. So, we think that Europe may be the first place that we at Bristow are deploying them in real world missions.
Savi Syth: And, just from a regulation standpoint and infrastructure, is that where you see kind of the most progress as well? Obviously regulation, but maybe on the infrastructure side?
Christopher Bradshaw: Yes. I mean, infrastructure still has a long way to go, I think, in really all jurisdictions. To be fair, but Europe is taking some prudent steps to think about how they'll actually be introduced and operated in the real world. We think you're going to see, eVTOL aircraft flying in Paris at the Olympics next year. So, this this is coming, preparations are being made, but still in terms of infrastructure, broadly speaking, a lot of work and capital and time to still be invested for the infrastructure.
Savi Syth: That’s all I have. Thank you very much.
Operator: The next question comes from David Smith from Pickering Energy Partners. Your line is now open.
David Smith: Hey, good morning. I'll echo the congratulations on the strong quarter. And thank you for having me on the call.
Christopher Bradshaw: Hi, good morning, David, and thank you.
David Smith: Yeah. I was hoping to start just considering the strong Q3 results and the better ‘23 outlook, I'm curious why your ‘24 guidance wasn't biased higher. If this was more about, some positive second half ’23 surprise or if maybe we should talk this up to a little bit of conservatism?
Christopher Bradshaw: Yes. Thank you for the question, David. We did affirm our guidance range for 2024, including adjusted EBITDA of $190 million to $220 million. Some of the factors that would drive results in 2024 to one end of the spectrum or the other, would include foreign exchange. Since, we initially published the guidance range when the pound-to-dollar exchange rate was about 1.27, the dollars strengthened considerably versus the pound. And so that's probably, eroded about $10 million or so of EBITDA just mark-to-mark on the FX side. So, depending on what happens with the pound-to-dollar exchange rate in 2024 that could bias to the lower end of the range, or if there is some recovery in the pound, that would push us more to the higher end of the range. Supply chain is another consideration that we're dealing with in the business. As I noted earlier, there are markets, for example, in the Gulf of Mexico, U.K., North Sea would be others, where if we had more serviceable S92s, we would be able to put them to work today on revenue generating, contract. So, depending on what happens with some of those supply chain challenges, again, could bias us more to one end of the range versus the other. But if we could get some help on the foreign exchange side, some help and easing of some of these supply chain challenges, again that biases us more to the higher end of the range as we look into 2024.
David Smith: Yes. It makes a lot of sense. I appreciate the color. And, a follow-up if I may, I think there's a lot of investor focus around, the increasing deepwater rig count on the offshore energy side. I wanted to ask about the production support side of the business. And maybe specifically, how has production related demand looked for you over the past year or so. And maybe any color on how that demand factors into the ‘24 outlook?
Christopher Bradshaw: Yes, it's been quite stable for us. The production support over the last 12 months, we tend to on the production side have more visibility and what's going to be required once the platforms are producing and online, they tend to produce for a very long period of time. There can be variations in the number of people that are working on that particular platform, and that will drive some variations in flight hours. But for the most part, our production related support is quite stable provides some visibility. And to the second part of your question, what that means looking into 2024 is we expect a similar level of production related support as what we're doing here in the later part of 2023. So that, provides some nice stability to the business, growth really coming more from the exploration and development activity, which as you referenced. We have seen an increase in the rig count and expect to see a further increase in the rig count over the next year and two year period.
David Smith: Which gives a great segue, if I can slip one more in. I did like this slide in your investor presentation showing the long lead times for reactivations of the cold stack deepwater rigs. I wanted to ask, as operators are signing contracts for rigs with longer and longer lead times, stretching out to ‘25 and ’26 start date. When does Bristow get brought into the planning, or maybe said differently, or are you seeing your contract lead times extend as well?
Christopher Bradshaw: Yes. That's a great question, David. Typically, we are contracted well after the rig is lined up. The offshore drilling rig is tends to be a much higher percentage of spend for the end customer. So, they typically line that up first for looking to other services, whether that be boats, helicopters, other services. I would say that, the industry as a whole the customers maybe got a little too comfortable during the downturn that the aircraft would be available when they needed it, that's changed. And I think a much higher percentage of the customer base now understands it's fundamentally changed. We have a supply a very tight supply demand balance for the aircraft now, and people I think are pushing out their planning now realizing that the helicopter is not just going to be there. They need to line it up in advance, to make sure that they have the support because you're not going to be very effective or productive on the rig if you can't get your people to and from the rig. So, we are seeing an increase in the lead times for the planning and contracting activity.
David Smith: Great to hear. Thank you very much, Chris. That's all for me.
Christopher Bradshaw: Thank you.
Operator: The next question is from Chris Lee from Evercore ISI. Your line is now open.
Chris Lee: Good morning, team.
Christopher Bradshaw: Good morning.
Chris Lee: Just curious if you could provide more details on the newly initiated offshore energy contracts in Brazil and Norway? And how are things going with the operation?
Christopher Bradshaw: Yes. Thank you for the question, Chris. We were very pleased to start up a significant new contract in Norway, supporting Ecuador's search and rescue needs in the southern part of Norway. That started at the beginning of September. The team there through a lot of work was able to start on time safely and reliably, and we've gotten a lot of positive feedback from the customer there in Norway for that. In Brazil, significant increase in scale in our operations there in Q3. We opened up two new bases. We launched six new contracts for AW139 helicopters. And again, I want to thank and commend the team there for doing that safely and reliably. And we think there are going to be more opportunities as Petrobras and others in the Brazilian market have an increase in activity, and demand for aircraft over the next few years.
Chris Lee: Gotcha. My follow-up question is with regards to your agreement with Airbus purchased five new H135 helicopters, can you provide us some color contract economics for H135s and potentially incremental EBITDA per fleet basis?
Christopher Bradshaw: Yes, thank you for the question. So those, H135 light twin helicopters to be delivered from Airbus, are for -- one of our largest oil and gas customers, for an identified need that they have. They're increasing the scope and demand that they have for the services that are needed to support their levels of activity. In terms of directionally, again, significant increase in in rates relative to historicals, and that is providing, the returns that make it attractive for us to bring in these aircraft. So, we'll be a positive improvement to EBITDA, on a high returning contract with a very large and important customer for us. The need for light twins really being driven by the size of the platform that they're going to serve. So, can't support the weight of a heavier medium. So, the 135 that we're bringing in which is really a category leader globally and the light twin category in the helicopter industry is the right aircraft for this mission.
Chris Lee: Great. Thank you. Thank you for taking my questions.
Christopher Bradshaw: Thank you.
Operator: The next question is from Silver Steve from Argus Research. Your line is now open.
Steve Silver: Good morning, everybody. It's actually Steve Silver. I'd just like to offer my congratulations on the quarter as well, and on the team finalizing the Irish Coast Guard contract. While 2024 is primarily going to be a period capital investment towards this project as well as in the U.K. Could you remind us if the 2024 EBITDA outlook includes any impact from the implementation of these contracts in the second half of the year, or whether these will pretty much begin in 2025?
Christopher Bradshaw: Good morning, Steve, and thank you for that question, and thank you for the congratulatory note. We are very excited about the addition of this important search and rescue contract with the Irish Coast Guard. It's going to be the second largest contract that we have at the company globally, behind only U.K. SAR. So, it's certainly a significant win for Bristow. In terms of timing, the contract does not commence until late 2024. So, it's really a de-minimis impact on ‘24. That small impact is contemplated in the guidance range we provided. But again, really de-minimis in next year. It's really 2025 and beyond the next, 10 to 13 years that will see the benefit from the addition of the Irish Coast Guard contract.
Steve Silver: Great. That's helpful. And one more, if I may. In the prepared remarks you mentioned the potential for additional financing over time. Just curious as to whether there are any target levels for net debt to EBITDA that we should be thinking about as you contemplate these kind of options?
Jennifer Whalen: Sure. Thank you Steve. As noted, high credit quality customers and so with attractive long-term contracts, it gives us a lot of flexibility in financing. We've been advancing discussions with the banks and we do expect something in place in the next few quarters. Something similar to what we have was NatWest. Our net debt to EBITDA ratios today or in the 2.6-ish range. I mean, we like where we're at today, we will always continue to protect our balance sheet, and we'll be conservative in what our target net debt to EBITDA numbers.
Steve Silver: Great. Thank you very much and congratulations again.
Christopher Bradshaw: Thank you, Steve.
Operator: The next question comes from Edison Yu from Deutsche Bank. Your line is now open.
Edison Yu: Hey, thank you for taking our questions. Want to ask a bit on the AM strategy. You've obviously interacted with many of the upcoming players and curious if you could elaborate on why you chose Volocopter and what kind of potential routes in the future or use cases you may use that to aircraft for?
Christopher Bradshaw: Yes. Good morning, and thank you for the question. As you noted, over the last several years we've spent a lot of time analyzing the various companies that are developing these new generation of aircraft, tried to assess them in terms of the capabilities of the aircraft itself, the team, the management team, their track record experience and capabilities, their access to financing, because it does take a lot of money, as you know, to certify and bring it to production a new aircraft type. So, we've evaluated those factors. That's all informed the different companies that we've decided to partner with. There is a spectrum of companies that we've decided to partner with, much like in our fleet today, there's different aircraft types that perform certain missions well. We see that being the case for these new type of aircraft as well. And that's why these partnerships range, can range from a piloted fully electric, eVTOL to an unmanned autonomous hybrid powered, aircraft, just depend on the mission that we're looking to perform, which brings me specifically to your question on Volocopter. Volocopter really has been and remains one of the leaders in the advancement of the design development certification of electric vertical takeoff and landing aircraft. But early on, their thought was that they would be vertically integrated. So, they would both develop manufacture, but then also operate these aircraft. But over the course of our discussions with them over the last few years, I think that they've seen the value of partnering with an operator like Bristow and what we bring to the table in our 75 years of operating vertical aircraft safely, efficiently, and reliably. And that's really led to this partnership. So, the type of mission for Volocopter, and the current aircraft specifically would be that the movement of people over short distances, which can be done, more efficiently certainly faster than a lot of ground transportation options and with the low carbon or zero operating emissions profile that electric aircraft operates. We see potential to launch with them in Europe, but we're also discussing partnerships certain regions of the U.S. So, a really strong, capable aircraft developer there, and one where we think that it could be a nice partnership between Volocopter and Bristow as these aircraft are certified come into the market.
Edison Yu: Appreciate the color. One follow-up on that. In terms of the cargo market and and you have a very good relation with Elroy. How do you sort of see the size of the opportunity? I think from our end, we have difficulties sometimes kind of quantifying that. Do you think this is a potentially as big of opportunity? Is it going to be smaller naturally, or how do you think about that?
Christopher Bradshaw: Yes. Directionally, we think it could be as big of an opportunity. There are a lot of uses for an aircraft like Elroy, which obviously, you know well, but for the benefits of others on the call. This is an autonomously operated hybrid powered, so both conventional as well as electric aircraft that has a high payload for this type of aircraft platform which could really be effective in moving cargo in a number of instances. So, we think it's a potentially huge market for disaster relief and response, huge market for servicing military and government customers, as well as commercial customers, whether that be middle mile logistics any companies, whether it be retail operations, etcetera, that have big logistics needs and particularly middle mile ones. For us at Bristow, we actually think the first application of these aircraft will be for our existing large oil and gas customer base. So, that the large oil companies that we service around the world, have massive logistical needs. Currently, we're servicing the need to transport their people from onshore bases to offshore platforms and back. But they also have huge logistical needs onshore, whether that regional movement of people, for example, to get them from say a major international airport to the heliport in which we operate for the movement of cargo. Today, they rely mostly upon 18 wheelers or lorries, to move this cargo from again major points of access and distribution out to ports, that will eventually make it to the offshore platform. In our discussions with them, they're very keen to have a more efficient solution but that these types of aircraft could provide and they also have very ambitious ESG targets that they've announced in terms of when they want to get to net zero on their carbon emissions. So, anything that we can do as a service provider to help them meet those initiatives, they have a lot of time to talk about and are really keen to hear what these new aircraft can do for the logistical needs. So, we do see a great amount of potential for products like the Elroy.
Edison Yu: All right. Thank you.
Christopher Bradshaw: Thank you.
Operator: There are no further questions in the queue. I will now turn the call back over to Christopher Bradshaw, for the closing remarks.
Christopher Bradshaw: Thank you, Dan, and thanks for everyone for taking the time on the call today. We appreciate the questions. Look forward to speaking again next quarter, and the meantime hope you all stay safe and well.
Operator: This concludes today's call. You may now disconnect at any time.